Chris Gibson: Welcome everybody to Recursion's Earnings Call. I'm Chris Gibson, Co-Founder and CEO, and I'm excited to take you through Recursions 2024, 2025 and the time ahead. So with that we'll jump into the slides and I want to just set the stage first of all to share a little bit about the moment in time that we're in right now. Recursion is leading this field of TechBio. We're the frontier of this exciting opportunity to decode biology to change the way that drugs are discovered and developed. And I think what we're seeing in 2024 at Recursion are leading indicators of what this inevitable future may look like. And what we're going to see moving into 2025 now is a cascade of proof points that are going to make it more and more obvious to everyone about what the future of the biopharma industry looks like. Now, to talk a little bit about how we've gotten to this place in 2024. I want to dive into some of the year-end review so to speak. And I want to kick that off by talking about our clinical data readouts. Last year, 2024 was the first time that we got to talk about efficacy in our first two clinical programs, REC-617 and REC-994. And I'll start with REC-617. This is a potential best-in-class CDK7 inhibitor for advanced solid tumors. And during this sort of dose escalation phase of the study before we would have expected to see efficacy and in fact in monotherapy which also is an exciting opportunity for us, we typically would have expected to see efficacy with combo therapy. We saw not only reasonable safety, but we saw early signals of efficacy. We had one patient who had a reduction in their tumor that was sustained for six months or more and a number of patients who had stable disease. So this is really, really exciting and we're actually kicking off combo studies here in the very, very near term. REC-994 was another program, one of the ones that helped originate Recursion an oral superoxide scavenger for the potential first in disease opportunity to treat symptomatic cerebral cavernous malformation. And we demonstrated robust chronic safety treating these patients for a year or more. But also in this signal-finding study, a study designed to help us identify early signals in efficacy across many different potential endpoints to design a future trial. We saw very encouraging reduction in lesion size based on the subjective MRI measure and also encouraging trends in functional improvement in the modified Rankin score in this Phase II study. So, very exciting from our perspective to get to start to turn over these cards of the earliest programs from the Recursion OS. What's more we launched multiple additional trials including our REC-1245 trial in -- for RBM39 degradation in solid tumors. We are able to launch our familial adenomatous polyposis trial, REK-4881 and then also our C. difficile trial with REC-3964. Beyond that, we continue to advance the next generation of molecules towards the clinic or into the clinic with CTA and IND updates for multiple programs, including the IND clearance for LSD1 in small cell lung cancer, the CTA for MALT-1 and B-cell malignancies, we were able to initiate IND studies in our IPF program, REC-4209 and initiated IND-enabling studies in hypophosphatasia with our REV102 program which is part of a joint venture with Rallybio. Even more happened on the pipeline slide. You can see some of the deliveries that we made here in green, you can see that we were delivering across this robust pipeline all throughout 2024 and early 2025 and we're excited to continue that as we move into the coming year. But it wasn't just our pipeline. It was also our platform that gave us so many of the early new indications that we're advancing. One of those I want to talk a little bit about today because, over the last couple of years, we've started talking mostly about our clinical programs and talking less about some of the early programs in the space. There's just not enough time to go into all the incredible science. But given the Lilly Scorpion deal we saw a couple of months ago, I want to highlight one of those early programs. This program, REC-7735. This is a mutant-selective PI3-kinase inhibitor. And we used the Recursion OS to identify and optimize this molecule and it's hundredfold more selective for the mutant compared to the wild type in our early preclinical models. It's probably 10x fold more selective than other wild-type sparing inhibitors that we've been able to test it against. And most importantly, we've seen this limiting -- limited hyperglycemia, when we've tested this. And I'll show you a little bit more of the data here. You can see on the left in vivo in this CDX model, we've taken our molecule, which is in sort of late-stage optimization here REC-7735 and you see it a variety of increasing doses this tumor regression, which is on par with the STX compound here. This is the Scorpion compound that garnered so much attraction. So this is really exciting to see. But what I get even more excited about is if you look at naive wild-type mice at hyperglycemia. This is one of the major challenges of the PI3 kinase inhibition space is that you can see compared to STX in these naive mice that were treated for five days with the molecules that the plasma insulin levels are dramatically lower in this REC-7735 molecule even at a dose of 150 that's twice as high as the highest dose you see over on the efficacy side. We think this is really, really exciting. We've had a lot of interest from potential partners, as we first started talking about this in JPMorgan a couple of weeks ago, and we continue to optimize this molecule and advance it. This is just one of the exciting early discovery or advanced discovery programs that our teams are working on here at Recursion. Beyond the pipeline, the exciting programs that we're advancing, we're also in these incredible partnerships working with Roche, Genentech, Sanofi, Bayer and Merck KGaA. I want to talk a little bit about the Roche and Sanofi partnerships. Those are the ones we're spending the largest amount of our time on. On the Roche side, we generated multiple whole genome Phenomaps in oncology and neuroscience last year. That led to a $30 million milestone that was received and I would say just a ton of excitement at the Roche, Genentech side and on the Recursion side, as we start to look at novel exciting biology in both oncology and neuroscience. On the Sanofi side, in 2024, we advanced two programs through initial milestones. Those generated $15 million in aggregate payments, there's a number of additional programs that are advancing towards or through milestones in the near future as well. So we're really excited about our work there and continue to do really exciting work with Bayer and Merck KGaA. Finally, I want to talk a little bit about the work we did on our platform in 2024. We continue to lead the industry across data, across foundation models, across compute and I think really it feels like it was much further ago than just last year, but we actually built and launched BioHive-2 last year with NVIDIA. We believe this is the most powerful supercomputer wholly-owned and operated by any single biopharma company. And I know as I watch the dashboard of utilization over the last year, we have been running this thing hard. We've been leveraging it to build a variety of different foundation models to advance these models and to explore new architectures of our neural nets across a wide variety of questions, as we build sort of towards these world models of biology. Our data capabilities continue to grow and expand as well. We were able to map more than 1.4 million active ligands to binding pockets for structure-based drug discovery and target deconvolution last year. We've generated now up to 6.2 million multi-timepoint brightfield images each week on our Phenomics platform. And we produced just under one million transcriptomes last year putting us at a total of more than 1.6 million since we launched this work in 2023. So, really exciting to see these new data capabilities -- these multimodal data capabilities advancing at Recursion. And of course, what we've been building in the discovery and translational space for many years, 2024 saw the beginning of our work in Causal AI models and in ClinTech. So we used AI models on the Tempus data and Helix data to start building out Causal understanding of biology from patient data for the first time. I think one of the most exciting projects here was deploying the Tempus data to build a patient stratification framework in small cell lung cancer, for one of our programs that we're advancing into the clinic there. And we've also started building automated site engagement tools and enrollment tools to accelerate patient matching to accelerate patient recruitment and essentially do a lot of the ClinOps work, as we start to scale this pipeline of Recursion. So early days there on the ClinTech side, but really, really exciting as we build this full stack platform. So we've talked about our platform before as companies move into the TechBio space it's really important for us to be able to generate and aggregate data across many different levels of biology and chemistry. And I think Recursion really leading the field in generating this real-world data or aggregating this real-world data. You can take those data you can learn from them. You can build models foundation models across all of these different kinds of questions you might ask in biology and leverage those to make hypotheses that you can go back to the laboratory and test. And it's this iterative loop that makes us so excited, that we think it's going to be essential for advancing the field. And what we're seeing is that, just looking backwards here, looking at Recursion and Exscientia alone, we've already been able to demonstrate these leading indicators of being able to quickly validate hypotheses, compared to the industry average. So using this incredible set of real-world data and these world models were able to take an early hypothesis, validate it and move to the hit stage faster than the rest of the industry, using -- looking back at the legacy Exscientia tools, we're able to take those compounds, those early hits and design them up to a more optimized stage synthesizing dramatically fewer molecules than the industry average. And what that means, is that we're spending less time compared to the industry average and going faster -- we're spending less money and going faster, compared to the industry averages. And of course, the most important measure that we want to change is the probability of success of our molecules in the clinic. And we look forward, as we start to readout trial-after-trial in the coming years, to being able to benchmark ourselves there, and hopefully, start to show some movement across the industry average probability of success. But I think these leading indicators are really, really exciting. And now I want to invite up Lina Nilsson, our SVP Head of Platform, to join me here in Salt Lake City to talk a little bit about how, not just looking back, taking our Exscientia combination and looking forward and over the last few months since we brought the companies together Lina, maybe you can talk about how we're seeing these benchmarks start to improve.
Lina Nilsson: Yeah. Thanks Chris. So, already as two independent companies as Chris mentioned, we built two technology platforms that are already realizing great efficiencies in drug discovery and development from two complementary angles. At Recursion, we were founded around novel insights from complex biology mapping. So essentially building giant data sets, fit-for-purpose, for generating industry-leading foundation models of human health and disease. And then on the Exscientia side; technologies, models for compound optimization, so efficiently synthesizing molecules with the right multi-parameter properties for potential treatments and now we're bringing these two complementary sites together. And very specifically at the merger we created 90-day plans to very rapidly supercharge generating this real value. And we promise to tell you about the outcomes from that and here I am with some of the first results, and there will be more to come later. Specifically, apologies, -- specifically as you can see here on the right, we have brought together massive data sets from both companies into a unified platform from ADMET liabilities, Phenomics and Cellular Function, Protein-ligand binding put all of this into our Centaur model management platform, together with Recursion massive Compute that you heard about in order to generate a new generation of models that are more powerful more accurate and more generalizable. And then immediately deploy this using Centaur, against our pipeline in the Recursion OS and within the short three months, able to quantify some of the benefits to the pipeline. So for example, deploying new scientific agents that have resulted in a 60% reduction in the human time needed to get to hit to lead initiation or federation of models based on a new data set of over one million compounds for more accurate MOA deconvolution another set of models since Centaur, also new with 2.5-fold increase in efficiency of detecting new bioactive compounds, as whole groups of new potential useful drug starting points and a 40% reduction in likely, cytotoxic compounds. That's just one example there among 18 new admit applications. So really already now seeing massive progress of building a new joint platform where the new hole is much greater than the sum of the prior parts. And with that, I'm going to hand it off to Ben Taylor, our CFO, who's going to talk about how we are doing all this new exciting work while at the same time save money as a joint entity.
Ben Taylor: Thanks, Lina. Yeah, it's been a great year for us both coming together as companies as well as what we've seen looking forward. So for starters we had $83 million in revenue as a combined group that's a pro forma basis in 2024 and had an ending cash balance of over $600 million. Now, that gives us enough of a runway to be able to extend into 2027. So continuing on the business model that we have, we feel very comfortable that we've got the runway to be able to execute on a lot of those things that Chris and Lina were just talking about. An important element of that when we closed the deal we gave guidance that we expected up to $100 million in synergies, we actually believe we will achieve a majority of those synergies this year and be able to get to a run rate that is beyond that $100 million over time. Now that is coming both from the more traditional synergies that you would expect from two companies coming together, but also on a lot of the operational synergies. So all of those benefits that Lina was just talking about actually translate to economic benefits for us too as we push forward. In addition really exciting important note we have carved out the Vienna operations into a new company. That will continue on and that both gives the new company a great stand-alone mandate, as well as helps to organize some of our operations and really provide us as much focus as we can possibly get. And we're on track to also clean up a lot of the excess office and legacy sites that we had previously when we came together as a combined company. So we will give you a much more in-depth understanding of some of these developments in May. What we are doing right now is basically going through all of our operations and going from the bottoms up as well as doing a strategic assessment and we want to give that to you all at once in a few months. Now as we look forward into the next year, we are really, really excited because not only was 2024 as Chris would like to say our best year yet. But when we look forward to 2025 we just see so much coming through the pipeline that really starts to show signal and point that the technologies we're developing are having a material difference. Chris brought up CDK7 and CCM and the initial data there. We have a number of additional studies that are getting started and we'll have readouts in the near future that could continue to support that moving forward. I think the PI3K is actually a great example as well, because that is an example of how we have this deep pipeline that most people don't even know about. We were able to look at a situation that was in the market and move quickly to provide what we believe is a better quality candidate that we can move forward with. And it is in that area that is not normally viewed by the rest of the investor market. So really exciting to be able to talk about more of those pipeline programs coming through in the future as well. Partnerships will continue to be an important part of our business model. I really want to highlight that in a part of our revenues, we brought in $45 million in cash payments for achieving milestones from Sanofi and Roche. So that's very different from an upfront payment or a license to our technology that is actually achieving technical goals that were extremely difficult and highly valued by those partners. And so we expect to continue achieving those milestones both generating cash flows, but also validating that the technology is doing what we want it to do. And then we will also continue to bring forward more of the data on how the platform is exceeding benchmarks moving faster being very efficient in how it does it. And so you can expect that through the course of 2025. All of that I think comes together. We take it very seriously. Our mandate from our investors is not to just be a biotech company. It's actually when we say TechBio what that means is we want to change the underlying probability of success across the biopharma industry and that's by creating better quality medicines and doing it in a more efficient way. And so we look at all of these points and try and stay focused on the bigger vision. And I'm going to turn it back over to Chris because he can really talk about how these points come together and where we see it going in the future.
Chris Gibson: Thanks Ben. Yeah, I think we're so excited about 2025 as Ben just shared so many different potential catalysts upcoming across our pipeline our partnerships and our platform. But as we look out a little bit beyond that sort of to the intermediate or even longer term, we believe that there is just extraordinary value to be unlocked. And we think Recursion is better positioned than almost anyone to be able to do this work. And so I want to share a little bit of that vision for you. I want to talk a little bit about how we think about the intermediate term. And, of course, Recursion today is leading the field and bringing together the real world and building these world models. This is the idea that we can have a laboratory full of scientists who are generating data. That data can be leveraged in a computational environment to turn it into models. We can learn and hypothesize using those models and go back into the real world. And this has been what we've been building at Recursion for quite some time. This idea of the real world and the world model this loop of learning and then hypothesizing, but what we think is coming, what we believe is coming in the near to intermediate future is actually a transposition of the -- the transposition where the world models become so good that they actually start to look more like a virtual cell. They start to actually look like -- they start to look like a virtual cell and that virtual cell is well-positioned to help us make predictions about the -- make predictions about biology. And so if we are taking this virtual cell and making predictions about biology instead of taking real-world data to inform algorithms to go back and make predictions there's this transposition that we think is going to fundamentally shift the way that the field engages. It's going to allow us to explore biology more broadly chemistry more broadly. And we believe that there's a number of different data layers and capabilities that are going to be required to truly build a highly, highly realistic virtual cell where you can simulate biology and chemistry in. At the very macro side of that will be patient model these are real-world patient data and AI. And Recursion hasn't generated a lot of our own data in that space although our clinical trials are one opportunity for us to do that but we've partnered with incredible groups like Tempus and Helix and they're allowing us to bring in tens of petabytes of data from patients all around the country and beyond. And to leverage those to build Causal AI models with our underlying data. When we start thinking about the pathway levels of biology Recursion I think more than any other company in the space this is what we're known for, hundreds of millions of different perturbations of biology in our laboratories where we've generated this fit-for-purpose data set across multiple layers of omics. We think we're going to continue to lead there. Of course the protein model side with AlphaFold and other protein folding models we think this is so exciting to see. And we think it's going to be relatively commoditized. There are so many groups on the cutting edge here and we haven't yet announced all of these but we are working with partners in this space to make sure that Recursion has access to some of the most advanced protein folding models in the world. And one step below that on the true micro side of things is the atomistic models. This is sort of the QM/MD side of things. And some have said that AI will never play a role. This is, AI I can't really do physics. And I think we're going to see that that is dramatically incorrect. What we're seeing at Recursion is that AI brought together with QM/MD is actually putting us in a position with the legacy Exscientia team and all of our compute to potentially lead here. And there's a lot of companies that -- and foundations and institutes that are working on this kind of atomistic side. But I think Recursion is going to have some really exciting things to share in the coming quarters. But it's when you put these all together it's this vertical stack of data across atoms, across proteins, across pathways and across patients where I think Recursion is truly going to create this competitive advantage integrating all of those data into a virtual cell. And while I don't think that's something we're going to be able to deliver in the next 12 months. I do think it's something that is not in the too distant future and we're going to keep working very hard to win that particular race. So now that we've taken a look at 2024, 2025 and maybe a little bit beyond I want to go and actually dive into questions. And we've got lots of great questions coming in. I'm going to turn here to our Q&A monitor.
A - Chris Gibson: It looks like the first question is coming from Alec Stranahan from BofA. Recursion has spoken about it supercomputer and data scale, especially, on the phenotypic side in the past but new advances including DeepSeek or bringing the need for scale into question. I would question that. Do you think this is a risk for TechBio as well? Or is biology just so complex that scale will continue to be essential. Well look Alec, I think it's a great question. I mean biology is extraordinarily complex. And the interaction of biology and chemistry is extraordinarily complex. So I think scale is going to continue to matter. And while DeepSeek did demonstrate that there are ways that you can train and deploy models in a more efficient way it does not hurt to be able to bring scale to these -- bring scale to the latest generations of neural nets and architectures. I think we're going to be able to do that. And we're going to be able to bring data across all these different data layers together. And so, we don't think that there's a dramatic opportunity for somebody to essentially bootstrap biology and chemistry. We just think that it is fundamentally too complex. Next we'll go to Vikram, one of our analysts from Morgan Stanley. How is your partnership with NVIDIA progressing? And what are your key focus areas for your foundation model work? Great question, Vikram. So we've been working with the NVIDIA team for many years. We're working on a number of different projects and they've been helping us to deploy lots of our different models across these very complex supercomputers BioHive-2 being the one that we have in-house at Recursion. It is not trivial to be able to train on a supercomputer of that scale not just one or two different models but many different models across multiple teams and multiple sites. And what's more, we're not just using the GPU side of things. We're also using the CPU side of that supercomputer to actually do some of the atomistic work that I talked about just a moment ago. So there's a lot of complexity in just deploying all of these tools and NVIDIA helps us there. There's lots of work that we're excited to continue doing with the NVIDIA team that we haven't talked about yet, and we'll have to wait in future quarters or years to be able to share more of that with you. Now moving over to Gil at Needham. Given costs on compute appear to be going down, how much of a moat does owning your own supercomputers still offer? Yes, this is a great question. Look, I think, there's two things that are necessary and neither sufficient to build these maps of biology and figure out how to advance medicines more quickly. One is data and one is compute. And while the cost of compute is going down, it's not trivial to do compute at the scale that Recursion is doing it. So over two, five, 10 years, you may see a dramatic reduction but I think we're going to be moving to virtual cells before we see a 10x reduction in the cost of compute. So, we think it will be important for companies operating at the kind of frontier of TechBio to be able to have access to world-class compute. And at least over the next two or three years, we think that's going to be a competitive moat for Recursion. And at the same time, the data side, we think is the extreme advantage for us. Because it doesn't matter how much money you have or how advanced do we get on the biology side of things, it still takes time for cells to grow. It still takes time for a crisper knockout to mature and create all of the effects downstream in a cell. And biology is so complex that there's sort of this binomial tree of potential possibilities that would take an infinite amount of time to test. And so this virtuous cycle of learning and iteration where you can test at some scale, make hypotheses and go back and validate or improve those hypotheses, we think that's going to be key. And we think Recursion is years ahead from almost anyone else in the space in terms of building these data or aggregating these data across all these different levels of biology. So we feel really, really good about that. Next we've got some financial questions. So Ben, I'll turn these over to you. Melissa asks, can you go into more detail about the Q4 revenue drop in 2024 compared to 2023?
Ben Taylor: Yes. This is a great question. And it causes a lot of confusion out there, because we are in many ways a tech company. However, our revenue and earnings don't show up like a traditional tech company. In the sense of we are often in our partnerships paid an upfront payment that then is recognized as revenue over a longer period of time. So you can't think of this like a subscription or a payment that's coming in quarterly. And so important fact we've brought in $450 million from our partnerships, a significant amount of that still has not been recognized as revenue. So as we continue to go on and have milestones or enter into new partnerships, those will continue to be cash inflows. They may or may not show up immediately as revenues. So it's really, really hard to track our quarter-to-quarter performance based on our revenue and we never suggest that people guide to it.
Chris Gibson: A wonderful world of GAAP accounting. Thank you, Ben. All right. Let's go to Dennis Ding from Jefferies, who asks talk about your expected cash burn for this year, and what we should expect at the May 2025 update?
Ben Taylor: Sure. We've got another complicated accounting question. So because of when we closed the transaction most of the financials in our 10-K actually reflect the Recursion -- the legacy Recursion stand-alone financials with a stub period for the legacy Exscientia piece. So what we tried to do was actually put in you'll see in the press release and the 10-K, the cash burn amount of $184 million. That was the starting year and end of year cash balance for Exscientia, the difference. As well as if you look at the cash flow from operations and the CapEx from Recursion, you're going to get to a number that's a little over $550 million for the combined entities. That is not a perfect number by any means to be clear, but to give people a general sense. I think what we're comfortable with is we are going to continue to grow, but we will be able to manage our cash burn and be underneath those numbers this year and we'll give you more detail in May. I don't want to front run ourselves. We want to run a proper budgeting process, but we are very, very focused on cash burn. We are very, very focused on runway. And we'll come back to you with more guidance on that later as well as what makes up it and why.
Chris Gibson: Awesome. Thanks, Ben. Next, it looks like we've got a couple of questions here on our CCM program. This is REC-994 and CCM. So Joe Philips asks, any updates on timing on REC-994? I was wondering if there's more clarification on whether this is going to advance to commercialization, our commercialization. And then Jeff at BioVantage, the primary endpoint of safety for REC-994 was met, but it was negative with regard to efficacy. Can you comment on the status of that program and plans moving forward beyond the recent presentation? What is the rationale for the longer-term treatment that will lead to statistically significant improvements? So great questions here. So I want to take Jeff's question first which is, we did see really, really exciting robust safety across this chronic treatment of a year. But I would challenge this idea that we did not see efficacy in the study. We did a signal-finding study. We're the first company to ever go to any regulatory agency with a CCM clinical trial to look at efficacy. And so we had to look at a wide variety of different measures a wide variety of secondary endpoints that could give us an idea of where to go in a subsequent trial. And so in a signal-finding study, you don't necessarily power all of those different end points, you go looking for maybe nearly significant or somewhat significant, but not p-value less than 0.05 findings that you can then parlay into a subsequent study where you narrow down the number of endpoints that you go after. What we saw was I think nearly significant data with a poorly powered study across this objective measure of MRI. If you look in the brainstem lesions for example, we see really robust reduction in these particular lesions. And you have to be careful looking at so many different measures, but we've got this long-term extension study that we'll be able to look at soon that will give us insights into whether these trends are continuing. And then we also saw this trend in modified Rankin Score which is really, really important because there's a precedence at the FDA from a functional standpoint of looking at neurologic diseases and showing a reduction in this MRS score over time. And so these will be key endpoints that we hone in on as we have discussions with the regulators about how to advance this program. And you can imagine if we go forward with a smaller number of endpoints and a larger number of patients, we may be very well positioned if we saw the same quantity and quality of reductions in lesions and improvements in symptoms to actually show statistical significance. Now, in terms of the details, later this year, we will be able to come back to you post interaction with the FDA and post maybe some exploration of our long-term extension data with some more clear plans on how we plan to advance this program. But I know today, the signals we saw in this signal-finding study were ones that we're excited about and certainly worth exploring for a disease with no other treatment besides surgery. All right. And we've got S. Jane on the business strategy. So the company's revenue streams suggest a split between a long-term royalty base of revenue and then viable drug candidates and short-term partnership-based deals with existing pharma companies. So there's a two-part question. While we've seen a lot of gains in the partnership revenue, are there any plans to expand and diversify revenue sources beyond the current avenues. So maybe Ben, actually, I'll send that one over to you and then I'll take the second part in just a minute here.
Ben Taylor: Sure. Well, and it's really interesting. We've certainly done the work internally to look at different revenue streams to come in. What I would say is the economics that we get out of our pharma partnerships are excellent. For example, we're looking at over $300 million in milestone payments per program, high single low double-digit royalties. And effectively, we have all of our direct cost paid for upfront. And so that's a very economically attractive deal. For us to diversify into other areas, we actually have to exceed that sort of an ROI threshold. So we do continue to look at it. We do engage with whether it's partners on the tech side or on the pharma side different ideas. But I'd say there's a very high bar for us to expand that.
Chris Gibson: Thanks Ben. The second question from S.J. is how confident is the leadership in our ability to discover and successfully clear clinical trials and get viable drugs on the shelves potentially tapping into some of the delayed longer-term royalty-based revenue. And I would just say Look I think we're very confident here. Discovering and developing medicines is hard, but we've been building a learning system. And my strong belief is that the system we have built has a high probability of being able to generate better molecules and better medicines over time. So, whatever level we're at today on average I would expect each generation of new molecules to get better. Now, it's important to note that for any individual program there are hundreds of ways that it can fail. And some of those can be really, really surprising. And so we can't say with any confidence whether molecule A, B, or C is more or less likely to advance. There are certainly ones where we're investing more to go faster but that it's very hard on an individual asset level to be extraordinarily confident when you're in sort of the preclinical stage the Phase 1 stage the Phase 2 stage. But what I can say is both we with our own pipeline and our partners with a number of programs that have been moving forward in those partnerships a lot of potential. And what I think is really important about Recursion is that we're not a typical biopharma company that has a handful of assets that create almost a bimodal outcome for the company where if you're successful in that leading program in that Phase 2 trial, the company has bought for some really, really exciting number and that molecule advances in someone else's hands. We're building a platform that's going to allow us to take many programs forward through our pipeline, many programs through our partnerships and that starts to remove that kind of bimodal risk. And if one believes our platform is at least as good as the industry average in discovering and developing medicines, but we're doing it at a higher scale and more efficiently, I think Recursion can become a really, really important company in the space. If we can do that and over time start to demonstrate that we're increasing the probability of success. And again we're not here for trying to build this company and sell it in the next year or two. We're here a decade in with decades more to go. But I think if we can start to demonstrate that improvement in the probability of success while generating molecules at scale and doing it more efficiently, I think we're a company that has the potential to truly transform this industry. And so those royalty-based revenues would be coming in in that case. And of course so with revenues from our own programs that we develop with our internal pipeline. Awesome. Next let's go to Gil again from Needham. Can you provide any visibility into milestone payments in 2025? Maybe I'll turn this one over to Ben as well and maybe I'll add a little something but Ben take this one.
Ben Taylor: Sure. The short answer is no. We're not giving any guidance on it right now. But I think what you've seen come out of our partnerships in the past is milestones around either drug programs advancing or delivery of phenomaps. I would say we are doing both of those things still in our partnerships. And so we look to do more of the same and more of it. The other thing that I would note is and this is alluded to and what Chris was saying another thing that we are always looking at is when is the right time to either advance a program on our own or to potentially look at partnerships around them as they advance through. And so I think that's something that we continue to look into for our pipeline and that could generate revenues and milestones as well.
Chris Gibson: Thanks Ben. Just a couple of things that I would add real quick right there is we've been doing the work of these partnerships for many years and essentially priming the pump on the milestones. And so while we're not giving any formal guidance for this year, I think there's a lot of confidence in where we're going. And as Ben was just alluding to, we're also starting to I think get a lot of interest in some of our individual assets that are in our clinical or preclinical pipeline. And so hopefully, we'll start to be able to demonstrate again different ways that Recursion is generating revenue generating credentialization of the platform and subsidization of the future pipeline that we're going to build. Next, so this one from Marcel. I'm actually going to turn over this first question to Lina. So, a while ago and by a while ago, Marcel, this is a few weeks ago at the JPMorgan Conference, time flies, we mentioned the goal of creating virtual cells to enable us to discover and develop medicines at scale including potentially to be able to simulate clinical trials. Given the known issue of hallucinations in LLM, are there concerns that virtual trials could also be prone to inaccuracies, particularly regarding cell drug interactions? And in the rare disease space where data might be limited, how would you validate the results generated from these virtual trials to ensure their reliability and accuracy?
Lina Nilsson: Yes, sure. Great question. We rely of course, on LLMs in addition to lots of other different model architectures, transformers deep flow nets, MolE is an architecture unique to Recursion that you might have read about, if you are more deeply in the Machine Learning field. And these come both with great power, different and -- powers and be able to get accurate predictions. And also sometimes liabilities, and limitations, and hallucinations, and false positives and so on. So we build big branch marking data sets, to ensure that our models are performing to the highest capability that we are able to do in our hands, with those benchmarking models. In addition, I think a really great important component here, is that we have large laboratory setups, in vivo setups, et cetera, where we can validate insights that come out of these models. So at the play that we're doing harking back to Chris' point, it's not that we're never validating anything in real assays and really experiment, is that we're able to focus down our experimental assays to the most promising compounds, the most promising insights, so we can be incredibly comprehensive exactly, where it matters most and not spend time and money on compounds that never were going to go anywhere, in insights that were going to be the right ones. And so, we're still doing this incredible important validation along the way, before a drug gets put into patients. And then specifically around rare diseases, this is definitely of course, a challenge not just for Recursion, but for the industry as a whole. And one component to this is building models that are not just focused at predicting that specific disease, but models that can understand broad biology so that we can validate and have model performance that are not just about one specific gene for example, but about that gene in context with everything else going on in the cell and in that patient. And that is one way, to bring confidence in local areas, that are "rare" but in context of all the complexity of human health indices, including through data at the atomistic and protein level through our massive data sets and Phenomics, linking all the way into the Tempus Helix and other patient data that Chris mentioned.
Chris Gibson: So, adding on to that, a little bit -- thank you, Lina. Gill from Needham asks, as it relates to creating a virtual cell environment, what would convince you that or us that we've reached something productive? And so this is a great question. And the reality is, I don't think this is going to be us flipping a switch and all of a sudden going from not productive to productive, it's going to be a gradient that we achieve over the next handful of years. And Gill, we're really focused on benchmarking our team at Valence is helping to lead Polaris, which is a benchmarking initiative across the industry. We've done a lot of our models against the therapeutic data commons, predictive ad benchmarks. And what I think we'll be looking for is, moving from models that give us insights into predictive ADMET or mechanism of action deconvolution or clinical trial simulation, towards broader models that have these emergent features that help us ask and answer questions, across many different layers of biology. If I were to just sort of imagine a place in the future that would give me the sense that we were really on the cusp and starting to feel like we have a virtual cell. It would be when we start to report to all of you, a reduction in the scale of data that we're generating. And we're moving from data into really just validating predictions. And that will be the point at which that transposition has happened. So, we're still doing up to 2.2 million Phenomics experiments, a week. We've done 1.6 million Transcriptomics experiments over the last 1.5 years, we're building a number of other kind of data modalities. When you start to see those numbers go down purposefully, because we're just validating simulated outputs and we're continuing to build the pipeline. That's when you'll know, that we have that virtual cell. Perfect. I think there was one more question here, from Laura, asking about NIH funding and whether changes in NIH funding might impact the direction that Recursion is going or our ability to discover and develop medicines. And what I would say is, in the short term, no. I mean Recursion in the early days was dependent on NIH funding, both in my graduate school work with my co-founder Dean, that was RO1-funded research that led to some of the ideas that helped us build Recursion, but also small business innovative research grants that we were able to bring in about $3.5 million in the early years of building Recursion. I do worry about other start-ups in the space, who may not be able to access some of those funds and what that means for the environment around us. And so, as you may have seen Laura, we announced that building off of the incubator that is called Altitude Lab, that is funded by Recursion a number of entrepreneurs myself included and other entrepreneurs in the space are anchoring a fun aimed at bringing, really exciting companies that might be impacted by this disruption in NIH funding, to Salt Lake City, to build and grow in our incubator to perhaps help them bridge that gap. Speaking a little bit more broadly though, I do think it's very concerning. We see a number of institutions that have started deferring graduate student admissions, and while some companies are doing PhD and Postdocs within their walls, all of the companies in our industry are reliant on the incredible grad student and Postdoc group that comes out of academia. And so, I am very concerned over 10 or 15 years, if we don't remedy some of these funding cuts the US could lose it's really substantial lead. Remember, most of the world wants to come here to train, and there's a reason for that. We're going to start to see that shift, if we don't remedy some of these cuts on the NIH side pretty quickly.
Chris Gibson: So, great with that. I think we're probably going to decide to move on here. Thank you everybody for joining us for Earnings Call. We're really excited to be building towards the future here, decoding biology to radically improve lives and hope you all have an amazing day. Thank you so much.